Operator: Good afternoon, ladies and gentlemen, and welcome to the Cardlytics Fourth Quarter Fiscal Year 2024 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, March 12, 2025. I would now like to turn the conference over to Nick Lynton, Chief Legal & Privacy Officer. Please go ahead.
Nick Lynton : Good evening, and welcome to the Cardlytics fourth quarter and full year 2024 financial results call. Before we begin, let me remind everyone that today's discussion will contain forward-looking statements based on our current assumptions, expectations, and beliefs, including expectations regarding our future financial performance and results, including for the first quarter of 2025, our capital structure, the rollout of new financial institution partners and the renewal of existing financial institution partners, and operational and product initiatives and improvements. For a discussion of the specific risk factors that could cause our actual results to differ materially from today's discussion, please refer to the risk factor section of our 10-K for the quarter and full year ending December 31, 2024, which has been filed with the SEC. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental financial information are provided in the press release issue today, which you can find on the Investor Relations section of the Cardlytics website. Today's call is available via webcast, and a replay will also be available on our website. On the call today, we have CEO, Amit Gupta; and CFO, Alexis DeSieno. Following their prepared remarks, we'll open it up for your questions. With that, I'll hand the call over to Amit.
Amit Gupta: Good evening, and thank you for joining our fourth quarter and full year 2024 earnings call. I'd like to start with a few thoughts on 2024. Overall, it was a transitional year for us. As we navigated changes while staying focused on the growth levers we laid out for our business. We faced executional challenges around network upgrades, changes in FI partner platforms, increased competition, as well as growth constraints with Bridg. When I took this role, I knew we had to get back to growth by building on our core strengths. I am clear-eyed about our challenges as well as our value proposition. Building on our leadership in the industry for more than 16 years, we are focused on strengthening our competitive modes to provide a truly differentiated commerce media platform for our partners and advertisers. We believe we have the best data set in the business. We see approximately $5.8 trillion of annual consumer spend. We partner with top financial institutions, which enable us to operate what we believe the leading financial media network in the U.S. Our North Star of driving consumer engagement has not changed. However, we are refocusing our efforts on a turnaround plan to get us back to growth. As part of this, we divested or closed non-core businesses like Dosh and made decisions to reinvest in areas that will help us unlock more growth. For example, we are building up our partnerships, data engineering capabilities, and go-to-market efforts. We are also in the process of standing up a new office in Taiwan to take advantage of the high-caliber local talent whose expertise is aligned with our growth priorities. Despite the challenges in 2024, we nevertheless made progress on a number of efforts that have set a good foundation to build upon this year. We diversified our business by scaling new FI partners and brought new advertisers onto our network. Growth of our UK business was a bright spot. We also saw continued growth in the everyday spend category, a particular strength of our business. Now, turning to Q4, we exceeded the high end of our guidance across all metrics. This was due to higher-than-expected pipeline wins and our continued efforts to improve delivery of our platform, which I'll cover in more detail. As I outlined on our last call, I'd like to share the progress we've made on each of our four key pillars of our turnaround plan. First, increasing our supply so that we can meet our consumers where they are. With our newest large FI partner in the U.S., our offers are now reaching all eligible card members, and we are working to scale the volume of content we deliver to them. I am happy to share that we have also signed a new Neobank partner in Q4, one of the fastest growing fintechs in the U.S.. We have begun testing and expect to be at scale with them in record time by the end of Q1 this year. We are also focused on renewing agreements with our existing FI partners as card-linked offers continue to be an important component of bank loyalty programs. In the UK, we continue to see strong double-digit growth. In Q4, the growth was driven by an increase in module supply and more consumer engagement with our offers. In addition to financial institutions, we are also engaging with new partners in other sectors who are expressing interest in our platform as a way to build and grow a loyalty program for their customers. I look forward to sharing more updates on this particular effort in the coming quarters. Second, strengthening and growing demand with our advertisers. Last quarter, we saw an increase in churn and reduced budgets with a small number of our large advertisers in the U.S., which were driven by organizational changes, broader macro factors, as well as our own platform changes. We are working to win back these advertisers while also adding new large brands that consumers know and love. Despite the churn, we continue to sign new brands across industries, which will scale over time as our network continues to perform. We have success in growing budgets through custom targeting. As an example, we are working with an advertiser in the home improvement category to expand their base of professional contractors. By using our unique purchase data, we identified and targeted these contractors based on their spending habits, driving incremental sales from this high-value, hard-to-reach customer segment. We are also responding quickly to our advertisers' requests for new features and tailored tech solutions to meet their unique needs. For example, we accelerated development of micro-targeting solutions by combining our core Cardlytics and Bridg capabilities for the first time. We expect to soon begin testing a series of CPG offers from large retailers and by using Bridg's product level data, we believe this new offer construct will unlock CPG budgets and create new co-branded supply experiences between banks and merchants. In the UK, we saw strong growth in the everyday spend retail and travel industries. Much of this growth came from successful pilots with new advertisers, including a leading global airline and ride share service. We also continue to see strong uptake with our insights portal, with a 50% increase of brands using the portal as of the end of 2024. Based on this early success, we expect interest in our insights on demand to grow as we continue to roll out new dashboards. We know that access to the insights portal is another important reason why advertisers continue to spend with us, as we provide what we believe to be the most comprehensive set of consumer spend data across online and in-store channels. Moving on to our third pillar, our continued and relentless focus on building a high performing network. In Q4, we sequentially improved delivery. We are consuming campaign budgets with more predictability and continue to drive engagement with offers. We have resolved many of the key issues that were contributing to the extremes seen in previous quarters and improved the efficiency of our platform. We are making incremental improvements to our budget management and projection model. We also continue to automate many of our efforts to improve predictability and performance and optimize for relevancy to drive further efficiency. To further optimize campaign performance through better visibility and quicker feedback, we continue to work with our advertisers to shift to engagement-based pricing models. In Q4, 61% of our advertisers in the U.S. were on engagement-based pricing, up from 51% in Q3. We remain on-track to have the vast majority of our advertisers on engagement-based pricing by the end of this year. Looking ahead, we will focus on the initiatives that further strengthen our network, which is a key differentiator in the CLO market and cannot be easily replicated. Our value proposition remains one of a kind, and we will continue to build on our cutting-edge product and tech capability. And our final pillar, accelerating our growth in Bridg. We saw a healthy pipeline of client interest for identity resolution heading into the New Year. Although Q4 did not show the results we had hoped, we remain optimistic about growing our Bridg revenue this year with new advertisers and continued product improvements. And I refocus our efforts on our go-to-market strategy. With Ripple, we now have over 110 million unique shopper profiles and continue to see strong performance with our audiences. Based on the initial client feedback, we will focus on increasing awareness with new advertisers and agencies to boost the adoption of our audiences. One area that I want to be clear on is our liquidity. We are very comfortable with our position and our ability to fund operations and pay-off current debt obligations. While we exceeded our guidance in Q4, we are not satisfied with this performance and believe that our Q1 will represent the billing's trough of our transitional period. We are setting the stage for 2025 to be a transformative year for the company, and we believe we are uniquely positioned to be a leader in commerce media. With our ongoing product and tech stack innovation, expanding network, and potential to grow our flywheel, we are enthusiastic about capitalizing on our momentum. I'll now turn it over to Alexis to discuss the financials.
Alexis DeSieno : Thank you, Amit. I want to echo Amit's comments about the full year 2024. In our pursuit for rapid transformation and growth, we face some executional setbacks. Despite that, I remain confident in the unique value proposition that we offer to our bank partners and our advertisers. In full year 2024, our top-line billings were negative 0.7% year-over-year, excluding the sale of entertainment, and annual adjusted EBITDA was $2.5 million positive for the second time on a full year basis. We slightly reduced expenses while balancing investments for growth and took a series of steps to strengthen the balance sheet and settle an outstanding lawsuit. We are committed to delivering sustainable profitability and free cash flow over time and believe this commitment requires balancing investments in growth and disciplined expense management. Turning to our specific fourth quarter results, my comments will be year-over-year comparisons to the fourth quarter of 2023, excluding entertainment, unless stated otherwise. In Q4, our total billings were $116.3 million, an 11.2% decrease. We beat our billings guidance primarily due to improvements in delivery and pipeline wins in the U.S., including from a number of national brands. Compared to Q4 2023, we had a reduction in a few key accounts as expected. However, we signed a large number of new brands in Q4, of which more than 90% were on engagement-based pricing. We continue to diversify our content with Q4 representing the highest number of total advertisers since 2022. 2024 was the biggest year we've had for new business and that has laid the foundation for growth in 2025. We saw sequential progress in our continued efforts to stabilize our platform and in Q4, we were able to deliver results for our advertisers with more accuracy and predictability, which we believe builds trust and unlocks future budgets. Consumer incentives decreased by 1.2% to $42.3 million, and revenue decreased 16% to $74.0 million. We saw better rewards management reflected in our revenue-to-billings margins, which improved 3.7 points from the previous quarter. Looking at our segment revenue results, our U.S. revenue decreased 19.9% due to lower billings and higher redemptions. In the UK, we saw the fourth consecutive quarter of double-digit revenue growth at 27.2% and the highest quarter of rewards to date. Bridg revenue declined 12.7% compared to the prior year due to the loss of key accounts in early 2024. Adjusted contribution was $40.7 million, down 12%. As a percentage of revenue, our adjusted contribution margin was 55%, up 2.5 points due to a more favorable partner mix. Adjusted EBITDA declined from $10.3 million to $6.4 million. Total adjusted operating expenses, excluding stock-based compensation, came in at $34.3 million, lower than the prior quarters due to a reduction in incentive compensation. We are maintaining cost discipline while making prudent decisions around long-term investments in our business. In Q4, operating cash flow was positive $3 million. Free cash flow was negative $1.5 million, a sequential improvement of $2.4 million from the prior quarter. On the balance sheet, we ended Q4 with $65.6 million in cash and cash equivalents and $60 million of unused available borrowings under our line of credit. This gives us over $100 million of liquidity as of the end of Q4, after accounting for a minimum cash covenant of $25 million. We made our first full payment of interest expense on our 2024 convertible note of approximately $4 million. And subsequent to Q4, we paid $3 million of the $5 million in payments that remain for our settlement with SRS. Our MAUs were $167.3 million for the fourth quarter, a decrease of 0.4%, driven primarily by winding down Dosh and a smaller FI partner. ARPU was $0.44, down 16.7% as a result of increased consumer incentives. Now, turning to our outlook for Q1. For Q1, we expect fillings between $91.5 million and $94.5 million, revenue between $57 million and $60 million, adjusted contribution between $30 million and $32.5 million, and adjusted EBITDA between negative $7.5 million and negative $4.0 million. Our billings guidance represents negative 13% to negative 10% growth. As a reminder, Q1 is a seasonally weak quarter for the advertising industry as a whole. And our billings have historically increased sequentially on a quarterly basis throughout the year. From a pipeline standpoint, we are laughing reductions of a few key accounts versus Q1 of last year. But as I mentioned, some have returned to pilot with us in March. The remaining key accounts have reduced their budgets, but continue to spend with us, especially in the restaurant and travel categories. We see strength in everyday spend, a category that continues to be a differentiator for us, as well as in direct-to-consumer and emerging brands. As Amit mentioned, our efforts to stabilize our platform are paying off, and we are delivering more predictable results for our advertisers. Under-delivery of campaign budgets remains a drag in Q1, but we expect incremental improvements with continued refinements in targeting and ranking. As of late Q1, we have ramped with our newest large FI partner, and our offers are now reaching all eligible card members. We are working to scale the volume of content that we deliver to them. In the U.S., we expect Q1 to represent the trough in our performance, as we expect Q1 to be the lowest billings quarter and lowest growth rate in 2025. The U.K. continues to grow. We expect continued billings growth for the full year, as we focus on increasing demand through high-quality advertisers in categories like ride share and grocery. Bridg should return to positive growth this quarter, as we lapped the loss of a key account in Q1 of 2024. We expect to see accelerating growth from Bridg and Ripple in the second half of the year. Revenue as a percentage of billings is expected to be in the low 60% range for Q1, driven by increased engagement and better rewards management, as we have made improvements to delivery. As a reminder, we continue to be focused on adjusted contribution, which we believe is the best indicator for our business. We are expecting adjusted contribution in the mid-30% range, consistent with recent mixed shift. As we scale new supply with more favorable revenue share, adjusted contribution should improve. Our adjusted EBITDA guidance primarily reflects the impact of our billings guidance. Operating expenses are expected to be sustained below $40 million, excluding stock-based compensation. While we will make strategic hiring decisions, we will continue to evaluate our costs as we monitor performance. For example, we have deprioritized non-core businesses in order to free up resources, to focus on our core business, and to facilitate investing in a cost effective technology hub in Taiwan. For 2025, CapEx is expected to remain in the mid to high $4 million range per quarter. Free cash flow should sequentially improve with semi-annual payments of interest on a convertible note and our final payment of $2 million SRS in June. For 2025, we are focused on delivering improved adjusted EBITDA sequentially through the year and positive adjusted EBITDA exiting the year based on improved execution in the U.S., continued growth in the UK and growth from Bridg. We believe this can be enabled by sequential billings growth, driven by a stabilized platform, delivering enhanced customer value and greater diversification of our supply partners. To reiterate, and it's earlier points, we have comprehensively evaluated our cash needs and believe that our liquidity is sufficient. We remain confident in our ability to invest in our business while also satisfying all of our financial obligations, including the repayment of our outstanding convertible note. As we have proven so far, we are taking a disciplined approach to current year investments, and we will invest only as top line performance improves. We continuously evaluate options to further improve our liquidity and strengthen our balance sheet. I'll now turn it back to Amit for closing remarks.
Amit Gupta : Thank you, Alexis. Before we move to Q&A, I just want to reiterate that we believe 2025 will be a transformative year for Cardlytics. We have refocused our efforts to get back on track for growth. We will continue building on our top tier network and core assets. I am confident that we'll continue to execute and grow the value we deliver to our partners, advertisers and consumers. I'll now turn it over to the operator to begin Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Luke Horton from Northland Securities.
Luke Horton : Congrats on the quarter. Sounds like you guys have a lot going on. Just wanted to touch on delivery performance. I know last quarter, you guys were making some progress on the over delivery side. Just wanted to see if that continued to improve. And then also on the under delivery, what sort of progress you guys have made there?
Amit Gupta: Yeah, thank you for the question. I'm probably going to refer back to our prepared remarks. As mentioned, we've made sequential improvements in delivery from our low point in Q3. And delivery is now within acceptable parameters. Our network continues to perform. And now we're delivering budgets more predictably. And the campaigns are hitting the ROAS goals. And an important critical point to talk here or mention here is we've resolved many of the key issues that were really contributing to the extremes we've seen in the previous quarter. So we feel very good about that. And to your point, over delivery has been addressed. Under-delivery continues to improve with our new focus on targeting and relevancy. Given that, this has been a big challenge for us in the past, I feel it might be worthwhile for us to going into a little bit more detail in what we did and what we're planning to do in terms of, what we've done in the past, where our teams have worked pretty hard, product engineering sales, and then everybody, we've put stringent limits on campaigns, we've put in daily monitoring, budget management, more efficient campaign pacing, we've improved our projection models, which has basically removed under projection, so we're not leaving money on the table. And going forward, the focus is really about ongoing incremental improvements to fine tune the system. So we continue to really increase the end-to-end automation and reduce the human intervention. So things like ad ranking adjustments, testing different reward amounts, conversion models to increase redemption, all those are things which continue to be underway. But feeling very good that the bulk of the problem is behind us.
Luke Horton : And then just on that new sign partner, Neobank in the U.S., just wondering kind of how significant of a partnership is this for you guys? And was that by the end of Q1 that you expect to be fully live with them? And then any sort of details on the on the partner sharing agreement with this FI partner?
Amit Gupta : Yeah, I would probably say every partner is important to us and significant for us regardless of their size. And that's just an important ingredient in how we think and how we think about partnerships in general. So, and we're happy, as I mentioned, my preferred remarks, they're one of the fastest growing fintechs. They're Neobank with a very diversified customer base. So we're excited about having them on our platform as a partner. And it's a testament to our engineering team that we've invested significant resources and capabilities, we're able to now onboard partners in record time like this. We signed a partner, we brought them on board, and we actually launched the initial kind of the early rounds. And as I mentioned, we plan to be ramped up within a matter of a few more weeks. So we're excited about them. And they'll actually add a lot of interesting new demographic segments to our mix. And I again, I want to mention and underscore this, every partner is important for us, and we're happy to have them on board.
Luke Horton : And then just lastly here, you guys really kind of dialed back on OpEx during the quarter. Just wondering if this is sort of a new run rate going forward? I know you've mentioned kind of scaling as you scale top-line growth too, but I'm just wondering kind of how you're thinking about expenses throughout 2025?
Alexis DeSieno: Thanks. Thanks, Luke. Yeah, as I said in the prepared remarks, we expect it to be below $40 million for the rest of the year. We do not expect it to be at the level you saw in Q4, which is $34 million excluding stock-based compensation. That is really a result of reducing incentive compensation in 2024. And so, it should kind of normalize back to what you were seeing in Q3. That said, we are optimizing costs, and we are making deliberate decisions. As Amit said, we rolled out Dosh, and we are launching a hub in Taiwan. So we are investing in key areas while pulling back in others. So I would model more mid-to-high 30s going forward.
Luke Horton : Thanks for answering the questions. I'm excited to see all these initiatives play out over the next year.
Operator: Your next question comes from the line of Kyle Peterson from Needham.
Kyle Peterson : Appreciate the updates. I just wanted to start out with the consumer incentives. I know they've been bouncing around a little bit as engagement has improved, but it does look like the 4Q number and the 1Q guide looks kind of implied to be fairly stable. Is this a good run rate to use moving forward for percentage of billings, or do you expect there will still be some choppiness, as you guys consider to continue to migrate towards engagement-based pricing?
Alexis DeSieno : Thanks. No, I think it should remain in the low 60% range like we have in the last quarter and in the guide. As I said, we're focused on driving value to consumers and driving engagement, but keeping our margins within an acceptable range. So, some of the overages you may have seen in the past were really related to that over-delivery. Since we have that under control, it's really about driving rewards in the instances where there's billings associated with them. And just to be clear, we want to grow the total pie of engagement. And so, that means driving more value to consumers and driving more value for advertisers while still focusing on margins within an acceptable range. I would keep it in the low 60% revenue-to-billings range.
Kyle Peterson : I guess just a follow-up on Dosh. Is there any way you guys could give us a little bit of color on what the revenue and expense base was? I'm assuming it was probably a net drag on profitability, but I guess how should we think about the impact of that for the top line as well as the cost base and if there's any stranded costs or one-timers that we need to be mindful of in our model?
Alexis DeSieno : Sure. Dosh, we never broke out specifically how much it was contributing in any way. It does help just refocus the team from a cost and time perspective onto other initiatives that matter more. The only real thing you should see is in Q1, you will see a non-cash gain for the aggregate amount of cash that was not withdrawn from balances, but that cash was already in our cash and cash equivalents. That would have shown up on the consumer incentive liability line on the balance sheet. But other than that, no major one-time costs and no real impact to the P&L.
Amit Gupta : Kyle, just to add to what Alexis said, Dosh was a very principled decision. I believe focus helps. And as Alexis mentioned, this helps us free up not just resources, but also mindshare that's going in and maintaining a product to the first level -- first class citizen level. And this was very much not core to our long-term plans and long-term strategy and the turnaround plan that I've put in place. So, that was the driving factor in this case.
Operator: Your next question comes from the line of Omar Dasuki from Bank of America.
Unidentified Analyst: Hey, guys. This is Arthur on for Omar. Thanks for taking the question. Just one quick one on micro. As you guys are having these conversations with advertisers on their 2025 budgets, have you sensed any change in advertiser mentality, perhaps just given some of the economic uncertainties that have emerged recently?
Amit Gupta : Yeah, I think that's a good question. You see the expanse of data we see, and so we start to kind of get patterns. And based on the patterns we're seeing, we see a consumer pullback for discretionary spend. So verticals like travel and restaurants. So we see some initial pullback patterns. And while the everyday spend around grocery or multi-line retail, they continue to be strong. That said, marketers really are, they come in, it's not a broad brush stroke. So they really think about things in different categories. But, just thinking about how we look from inside out, these are the times when our diversified advertiser base really helps us. And that's something that our sales team has done a great job in expanding that diversity of advertiser base. And the second thing, during these times, consumers do become a bit more deal focused. So that also plays to our strength. But the key is that there are advertisers or marketers who are thinking about budgets differently and our teams are working very much closely with them to help weather through the uncertainty that emerges. And it impacts some sectors more than the other.
Unidentified Analyst: And maybe just one more from me if I could. Amit, you mentioned, I think you talked about micro targeting, combining both card intakes and bridge data that could potentially unlock some CPG budget. How should we think about the potential magnitude of this opportunity? And is this something that you would expect to materially impact top line in 2025?
Amit Gupta : Yeah, I think the important thing is that this is a unique capability that only Cardlytics can bring by connecting the two data sets. And this was a priority that was important for me. And we had our data engineering teams, we had our data analytics teams’ kind of work together and we figured out -- based on a long amount of research and analysis, we figured out a way that we could connect the data sets in a privacy-safe way by connecting signals, new data signals within transaction strings across the two data sets. So that's the good news. And furthermore, as you rightly said, this allows us to open new CPG budgets and provide more value to our end consumers. So what we're trying to do right now or focused on trying to do right now is getting it out in the market and do some early tests. And once we iron out the wrinkles, we'll scale it up. So, this is something where I'm looking forward to and seeing the impact and we'll keep you posted in the forthcoming quarters.
Operator: Your next question is from the line of Jason Kreyer from Craig-Hallum.
Cal Bartyzal: This is Cal on for Jason. Maybe first to start, can you just touch on your new large U.S. financial institution partner? Are there any assumptions for contribution in the Q1 guide and any incremental updates you have for the ramp of those partnerships throughout the year?
Alexis DeSieno : Thanks. So as I mentioned, it's not really a contributor to the Q1 number. So this is fully launched with all of their card members as of kind of late in Q1, but we're continuing to work to add more and more content to them. And every day we're adding more and every month. So still not a major contributor now and we'll continue to ramp throughout the year.
Cal Bartyzal: And then, you kind of touched on some green shoots that you were seeing in the pipeline. Just curious if you can kind of touch on the drivers of that pipeline strength you're seeing? And how quickly could these, these new pipeline opportunities scale as you're seeing things like supply grow and things like delivery get ironed out?
Amit Gupta : Yeah. I think that's a very apropos question, very much grounded in our turnaround plan. There are green shoots if you roll across all of those four pillars. So, first of all, as we've talked about, delivery continues to get better. We've solved most of the problem and we have upside in front of us. From those areas on the supply side, we have built a tangible value proposition that partners outside of FIs are excited about chatting with us to deliver a similar level of value to their customers. They want to increase the loyalty proposition that they're offering to their customers. So, we're able to bring the best of the Cardlytics platform to non-bank supply partners as well. And for our advertisers, you heard me talk about new micro-targeting solutions. We're also going to market for very large brands and retailers with solutions that connect the best of both Bridg and the core Cardlytics value prop to develop a broader value prop for them to drive their marketing goals. So, we have a slew of green shoots that we're excited about and all of them by definition have their own kind of incubation and germination timeline. But the fact that they're built on our core asset, that's kind of gives me a lot of confidence in the future of progression.
Operator: Your next question is from the line of Robert Coolbrith from Evercore ISI.
Robert Coolbrith : I just wanted to ask on the expansion with the large U.S. FI partner and then the new Neobank as well. As you begin to talk about these expansions with advertisers, just wondering if access to this new set of customers, different demographics and spending patterns, is that helping to catalyze advertiser demand or open any new doors for you on the demand side? And then secondly, as you turn your focus to renewals this year, just wondering about any prospect for revisions with respect to revenue share. I think you've talked in the past about, slightly different value proposition or sort of value algo, adding a little bit more value to consumers potentially in exchange for a lower partner, FI partner share. But just wanted to ask if you have any updated thoughts there?
Amit Gupta : Yeah. Thank you, Robert. I'll go maybe in that order. So first of all, as we bring on new partners, you're absolutely right. It allows our sales team and our partner teams to go and provide a bigger swath of the network impact that we can have in the market to our advertisers. So that is absolutely, we see that absolutely happening. And that does give dividends back in terms of getting more diverse set of advertisers on the platform and existing advertisers are inclined to spend larger budgets. So that absolutely does happen. But in addition to that, what I'm also excited about the fact that we are, we've invested a lot more in our data engineering capabilities. And so that allows us to have models of which we are in the process of building right now is a conversion model where we can target almost at an individual level so that they can actually further help increase redemption rate. So that increases the power of overall network and our ability to target the overall network. So that's kind of to your first question. On your second question on renewal, the renewals that we have, you're right, we have a few renewals coming up and we continue to work with our bank partners routinely on a daily basis, on a weekly basis. And I can say pretty much in every single case, the incentives, our incentives are aligned with our bank partners incentives to deliver the maximum amount of value to their cardholders or to their clients. And we continue to do the best we can. And in some cases, we've actually tailored the product roadmap to meet specific needs for some of our FI partners, which we are in a unique place of being able to do now, having built a more scalable tech stack. So, we'll keep you posted as those unfold over the course of the year and beyond. But we're confident that we're in a good place having invested in our tech and product capabilities and our go-to-market teams.
Operator: There are no further questions at this time. I'd like to turn the call over to Amit Gupta for closing comments. Sir, please go ahead.
Amit Gupta : Well, thank you for joining us today. We look forward to discussing our first quarter results at the next earnings call. Have a good evening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation. You may now disconnect.